Operator: Dear ladies and gentlemen, welcome to the conference call of thyssenkrupp. At our customers' request, this conference will be recorded. [Operator Instructions] May I now hand you over to Claus Ehrenbeck, who will lead you through this conference. Please go ahead, sir.
Claus Ehrenbeck: Yes. Thank you very much, operator. Now this is Claus Ehrenbeck from the Investor Relations team here. And also on behalf of the entire team, I would like to wish you a very warm welcome to our today's conference call on Q3 numbers. As always, all documents for this call and for Q3 are available on the IR section on our website. And here with me in the room are also Guido Kerkhoff and Johannes Dietsch. And I would like to hand over now to Guido Kerkhoff, who will run you through the presentation slides. Guido, please.
Guido Kerkhoff: Yes. Thanks, Claus. And a warm welcome from my side as well. On the macro development determined earnings and cash flow development in the past quarter, and that was very largely overshadowed by the progress that we made. On the strategic side, I'm happy to confirm that we're on track with the preparations for the Elevator IPO, while in addition, we are also carefully reviewing the expressions of interest from potential interested parties that we received in the meantime. And as the other businesses are flexible, the portfolio approach spot interest of several strategic partners with which we are having early discussions. Top of that, we have first findings from our performance, further placing three businesses under review with all options open. With respect to the financials, the strong and growing order intake in our Industrial businesses was clouded by headwinds in our auto-related and Materials businesses. In addition, the drastically surging iron ore price also burned adjusted EBIT. On the positive side here, we further improved at our Industrial components businesses at Marine Systems, at Corporate as well as Elevator Technology, hitting the margin inflection point. Free cash before M&A significantly improved in the third quarter yet remained negative. Year-to-date, free cash before M&A is, as expected, clearly lower and negative, mainly due to an increase in net working capital, particularly at our auto-related and Materials businesses. But there's also light. Elevator Technology further increased its cash contribution while Industrial Solutions due to milestone payments for the recently won fertilizer orders and Marine Systems due to positive cash balance from orders that have improved substantially. Given the continuing slower-than-expected economic growth component by sharply increasing raw material costs, we now expect EBIT adjusted of the group to be around €0.8 billion versus €1.1 billion to €1.2 billion previously. Free cash before M&A, in line with the reduced adjusted EBIT forecast now expected at above €1 billion negative from previously high 3-digit value negative. More about this later in the call. Before we jump into financial, I would like to update you on our strategic project - progress. Let me remind you about our new strategic concept, newtk, that we introduced in Q2 that is more than our focus on performance, but also much more flexible portfolio approach, including our Elevator business. In the upcoming quarters, we will use the quarterly earnings call to give you an update on each bucket and what happened, where we stand and what we are about to do next. Our medium-term targets continue to apply. We have a clear plan on how we will achieve these goals and drive them going forward. As part of our performance program, we're constantly and systematically reviewing the extent to which the measures already initiated on making sufficient progress. For example, last year, we took a very close look at our Industrial Solutions and Marine Systems and then worked out an action plan, together with the management, and we can already see the progress. Performance first also revealed that we have business in our portfolio, in which the progress to date on the current market situation does not allow us to believe that we can sustainably develop them internally. Currently, this applies in particular to three businesses: Springs & Stabilizers, System Engineering and Heavy Plate. Although these businesses account for only 4% of sales, they account for roughly 1/4 of the expected negative business cash flow this year. As a consequence, we'll run these businesses from now on as businesses under review. What will happen now is that either we will succeed in restructuring or we'll seriously have to question ourselves whether we can or should continue to run these businesses intensively within the group. The process in these units will be accelerated by a small team of senior restructuring experts who will report directly to Johannes Dietsch, our group CFO. Moreover, in order to increase the visibility of these businesses, who will - they will be reported separately from now. In addition, we urgently need actions to Europe. The newly formed steel management board headed by Premal Desai is currently working at full speed on a sustainable, strategic future concept for steel in order to achieve a sustained increase in performance. For this reason, we've taken comprehensive immediate measures here as well, including, amongst others, the reduction of administrative costs, hiring freeze and optimizing our raw material purchase and use. On top of that, Steel Europe will also rapidly implement the announced reduction of up to 2,000 jobs, and as already explained, tackle the issue at Heavy Plate. While the business is under review, I've also shown is that we have to accelerate our reactions to market changes that's why we're setting up new lean organizational leadership structures, which is an essential and direct contribution to efficiency, laying the foundation for tomorrow's competitiveness. The leaner structure is also reflected in a leaner Executive Board. Yesterday, the Supervisory Board and Donatus Kaufmann, Group COO, agreed on a potential termination of this contract in the context of the strategic and structural realignment. Ultimately, our goal is to become leaner, faster, simpler and more flexible. We're currently working very closely with the operating units to determine the right organization for the future, aiming to provide you with information on the main features of the new organization at the end of the year. And that we will be able to start working in the new organization beginning of 2020. One thing is already certain, we'll streamline group headquarter and reduce central administrative costs from currently €380 million to below €200 million over the next two years. This will not be possible without staff reduction. The IPO of our Elevator business is a central project for the implementation of newtk. For the IPO to be a success, improving our performance is key. And we know we still have a lot of potential compared to our competitors. This makes it all the more important that our Elevator business can hold its own so well in the current difficult market environment. And it's confirming to see that the measures taken by the new Executive Board around Peter Walker are already taking effect. By reducing administrative costs, simplifying the organization, North and Latin America, reducing the complexity in the product portfolio, so we have reduced the number of platforms - or our core platforms, for example, in Europe. And also, we support the business with acquisitions in the high-margin service business in the U.S., with two acquisitions, Nashville Machine Elevator and O'Keefe Elevator in Q4. And we're preparing for the IPO, and we're well on track. By the end of 2019 calendar year, we'll have completed the so-called color, and thus, already have the Elevator division largely ready for the capital market. Depending on capital market environment, we're aiming for an IPO in the course of fiscal '19, '20. Finally, work on the many speculations of recent weeks, some of which have also been reported in the media. The obviously great interest shown by competitors and financial investors confirm the attractiveness of our Elevator business. As said in the beginning, while preparing the Elevator IPO, we're also carefully reviewing the expressions of interest from potential interested parties. That's why we are in that respect on a reactive IPO-led dual track from now on. But not to forget, also the other businesses sparked interest of several potential strategic partners, and we have been conducting various early discussions to explore portfolio at options and possible partnerships in all the areas we've stated with our newtk project. So the launch of our more open approach on the flexible portfolio and consolidation willingness in the Materials sector has led substantial interest in the market. As said before, we identified three businesses in our portfolio where progress to date does not allow us to believe from today's perspective that we can sustainably develop these units. Although these units account for only 4% of the sales, they roughly account for 1/4 of the expected negative business cash flow this year. The biggest drag is currently Springs & Stabilizers suffering from acute significant performance problems, including overload plan and inefficient cost position in Europe as well as competitive pressure in a commoditized market. Without this loss-making unit, Components Technology's auto business performance would have been more robust in this challenging environment. The same holds true for System Engineering. While still slightly positive in EBIT adjusted and business cash flow in '17, '18, the inefficient cost basis, together with the increasing customer reluctance, push both figures into negative territory. Going forward, it is reasonable to expect that these businesses - that the business will have to face changing market fundamentals due to technology shift from conventional combustion engines towards e-mobility. Without System Engineering, the performance of Industrial Solutions wouldn't have been as pressured as it is now. Heavy Plate is another business under review due to its consistently high losses in the last years and the continuous decline in production due to import pressures. Moreover, its low value-added product and a weak market position questions position in the group. Let me be clear, we no longer want to drag along businesses without a clear perspective, which permanently burn money and destroy value generated by other areas. We do see opportunities for further development of the aforementioned businesses but not necessarily under the umbrella of thyssenkrupp. While our Materials businesses were closed - were clearly below the prior year level mainly due to lower volumes, the order intake profile at our Industrial businesses remains very encouraging. Orders in Components Technology were up year-on-year due to continued growth at Industrial components on the back of persistent strong demand from the wind energy sector as well as for construction equipment and heavy-duty engines. Growth in the Steering business, with the new plants and ramp-up, was overcompensated by weak and underlying auto demand, particularly demand slowdown in China and Western Europe and Brexit uncertainties noticeable with customers. Orders at Elevator Technology are still doing very well, with book-to-bill above one and order backlog, excluding service, new record levels of €5.5 billion, last year was €500 million lower. Overall, growth was driven by modernization in service across all regions but especially from the U.S., despite a strong prior year quarter and supported by major projects from Russia. New installation in China was flattish, slight growth in units; however, with a significant increase in prices. Orders at Industrial Solutions came in significantly higher year-on-year, with book-to-bill above 1, mainly driven by an ongoing positive order trend at chemical plant engineering, where, as already said last time, we still see an improving market environment as customers ask us to apply for the project. Last month, we could win two fertilizer orders, one from Egypt, one from Poland. Cement improved slightly from a low base, whereas mining, coming from a strong base, is down. System Engineering order intake for auto assembly lines is slowing due to the aforementioned reasons. As expected, Marine Systems did not book any big tickets in the second quarter. However, Q3 included smaller maintenance and service contracts, order for four frigates for Egypt at very advanced stage of negotiations and expected to be received shortly in Q4. Materials Services experienced significant lower volumes, mainly in the direct-to-customer business and auto-related service centers, while Steel Europe also had significantly lower volumes, primarily in the automotive group. Despite the continued good performance at Components Technology business with bearings, crankshafts and construction machinery components, the continued lower demand for automotive components, especially in Western Europe and China and the resulting slower ramp-up with higher costs for new plants in China, weighed on earnings. However, the biggest drag is the ongoing negative performance of Springs & Stabilizers, with around €60 million strain on EBIT adjusted in the first 9 months. Elevator Technology's adjusted EBIT and margins are back on track, with EBIT adjusted surging 10% and margins making an inflection point, expanding 0.5 percentage points year-on-year for the first time after four quarters. Sales price and material cost development in China compensated the continued pricing pressure and material cost tariff development in the U.S. As announced with the Q2 release, we finished the separation of the Americas now being power-rated, active in North and Latin America. As the next step, we'll start delayering the operations in the U.S., resulting in the reduction of the number of top management position. Adjusted EBIT at Industrial Solutions came in negative, though up year-on-year as the prior year included expenses for comprehensive project revenue. Nevertheless, we still suffer from lower margins on project build at plant engineering, in addition to cyclical delayed customer orders at System Engineering. Earnings at Marine Systems improved clearly year-on-year, mainly due to the omission of one, the only project expense and increased sales. However, continuing low margins on project build dragged earnings down to breakeven. Persisting weak trading conditions weight on Materials Services' adjusted EBIT, combining significantly below the prior year level. Lower shipments, in addition to margin pressure from declining prices especially in warehousing compared to dynamic price increases in the prior year quarter. AST is still positive after 9 months, however, came in negative year-on-year, mainly due to price trends in stainless steel and nickel there, but also caused by continuing import pressure and a lack of sustainable effects from [steel ore]. Steel Europe was significantly lower year-on-year and accounted for the majority of the guidance reduction due to the significant cost increase for raw material procurement, additionally influenced by exchange rates in addition to a decline in shipment volumes, increasingly market-related already experienced in the quarters before. Corporate continued its positive trend from the previous quarters, further improving its EBIT adjusted year-on-year on the back of our ongoing efforts to reduce G&A costs. Against our expectations, the macro environment and with it, the auto market particularly in China, further weakened after Q2 release, with substantial effects especially on our more cyclical businesses. While our Materials business has suffered from negative price and volume effect, steel was further burdened by drastically increasing IMO prices. Components Technology saw lower demand for auto components and System Engineering. Automotive protection system unit experienced cyclically delayed customs - customer orders. Overall, we expect the second half to be impacted by more than €300 million macro effect alone. Despite further progress on reducing G&A costs at Corporate, also including contingency measures, we now expect adjusted EBIT around €0.8 billion for the group, also leading to adjustment to full year guidance for Europe, Industrial Solutions and Corporate. Although we cannot be satisfied with this performance, our mid-term targets remain intact as the majority of factors is attributable to external factors that we cannot control. Overall, we expect them to sum up to above €700 million for the financial year '18, '19. Nevertheless, we work hard to improve the progress compared to the prior year is already visible. For example, Components Technology's EBIT adjusted, despite negative auto effect in the mid-high - mid to a high 2-digit range will increase - improve year-on-year on the back of slightly higher sales and a higher contribution by Industrial Components. Elevator Technology's adjusted EBIT is also expected to improve year-on-year from sales growth in the mid-single-digit percentage range and stable adjusted EBIT margin, supported by restructuring and efficiency measures. Marine Systems is likely to see the biggest absolute improvement in EBIT adjusted year-on-year due to the absence of additional cost for project analysis and reassessment in the prior year as well as higher sales. While at Corporate, measures to reduce administrative costs are executed faster than planned, resulting in a clear year-over-year improvement. However, our remaining businesses will experience substantial negative effect, with the biggest ones visible at Steel Europe due to a cyclically weaker market with declining volumes, in particular, from automotive customers, substantially higher costs, in particular for raw materials, and depending on further developments with a potentially negative fourth quarter. While adjusted EBIT at Materials Services, in light of slowing economy and declining prices and volumes, will be significantly lower year-on-year. Industrial Solutions will be burdened by additional project costs, while System Engineering is down from order deferred from customers, mainly due to market conditions. Free cash before M&A is now expected at about €1 billion negative from previously high 3-digit negative. Compared to the guidance we gave after Q2, the new guidance takes into account the reduced adjusted EBIT for cost, but also reduced costs at Corporate, supported by contingency as well as lower CapEx of steel and Materials Services. Compared to the prior year, we clearly see improvements due to operational improvements at Elevator Technology and Corporate, while Marine System's cash profile is expected to improve on the back of order intake and the respective milestone payments. However, especially our Materials businesses impacted by the effect of the economic slowdown will generate less earnings, respectively, cash and loss. On top of that, Steel Europe will experience significant net working capital buildup, also due to the drastically increased final prices, while Components Technology is expected to slightly build up net working capital due to the ramp-up of new plants. Our priorities for the upcoming months are clear. Besides driving our initiatives under performance first, we're setting up a new lean organization leadership structures and stringently working on the Elevator. With the release of financial year '18, '19 figures on November 21, we will provide you with another update. And last but not least, December 10 and 11, we'll host the Capital Markets Day in London where we have even more information for you. And in addition, we will have the opportunity to meet the leadership team of our businesses. So save the date.
Claus Ehrenbeck: Yes. Thank you very much, Guido. And also, thank you very much for mentioning our Capital Market Day at the end of the presentation. We will send out the invitations for this Capital Market in the next couple of days. So and with that, we would like to hand over to the operator. Operator, please take over for the Q&A session.
Operator: [Operator Instructions] The first question is from Ingo Schachel, Commerzbank. Your line is now open.
Ingo Schachel: I have two questions, and the first one would be on your three business units that you've put under review. I think we spoke about Springs & Stabilizers on the last call. And that's how you were saying that it doesn't make sense to throw away a business like that when it's not performing because you don't cash their value when you throw away things. Just wanted to understand what has changed in your thinking, is it that you've been approached in the context of this review by buyers as you are more confident that there is a market for that? Or actually, just identified that the strategic fit is weaker than you thought? And maybe you can also explain on that context, what the fact that these three units are on the list means for the other parts of Industrial Solutions, I guess a few other loss makers in there as well. It doesn't mean the underperformance. First, you've also reviewed the other parts by something for now they're better off under the umbrella of thyssenkrupp or that's your flexible portfolio approach, mean that in November, we might as well see 5 or 6 business units on this list.
Guido Kerkhoff: Thanks for the question. No. First of all, let me say, why do we take the three out? We have already started last year. The two other bigger groups that are contributing to the very negative cash flow, thyssenkrupp's Marine Systems and the rest of Industrial Solutions, but we have already started and initiated programs there to improve them, and I have given you some details about what we have improved in these businesses. Why do - have we taken the other three out? To make, first of all, very transparent where they are, where they do spend and how much they contribute negatively to the other groups, be it Industrial Solutions or Components or Steel. So make them transparent and say, clearly, the rest is not as bad as it looks distorted by these figures. That's one thing. The second thing is we can clearly address, internally and externally, all options that we want to do. There might be restructuring opportunities that we can do. There might be external things and we might stop certain activities and just shut them down if we can't continue them to make them profitable. So it's - in that respect, a clear fixed seller close approach that we do have here. And it helps us to make them fully individually transparent to drive internally and externally all measures that we want to take. That's why we do it. Throwing things away at too low value, it doesn't make sense. It doesn't make sense now as well. But some of these businesses we might find that we cannot even continue them.
Ingo Schachel: And with this additional transparency, of course, was also very helpful with things, especially with Heavy Plate to see the figure of profitability. Excluding Heavy Plate, nevertheless, even if you just strip out the losses from Heavy Plate, of course, input cost played a big role, but I think even if you compare your margins and EBITDA per ton, I think last quarter, this quarter, at least looking at the numbers from an external perspective, one might think that the performance is even a bit weaker than for other European steelmakers. Can you tell us your view about this? Is it also your internal assessment? Is there anything that you see as specific problems that led to the situation and also to the division of the management team being replaced? Or is it that you're going to have certain one-offs like in the last quarter that you would point out on the personnel or pension side that have burdened the results there?
Guido Kerkhoff: A couple of things to - you have to consider. One is we have a very strong auto sales pipeline. So we're, direct and indirect, around 50% auto. And even in the auto sector, we have seen some mix effect, so from a higher-margin product to a lower-margin product. On the other hand, we have longer-term contracts, so it always hits us a bit later than the others that are closer to spot market. They can react in pricing and everything sooner. And these two factors you need to take into account. Therefore, it is not so much a surprise to me that we are currently hit more than others. That's one thing. Secondly, we couldn't do all the restructuring measures we wanted to do because we were planning for the JV. And clearly, one of the key tasks for the new management team is to get the restructuring and to set up appropriate and do all the measures that are now needed. The Heavy Plate issue, for example, we thought we can address if we do the JV. Now we address it stand-alone and make it therefore now clearly visible. It's not completely new to us. This has been played as a problem. But now we address it stand-alone, and that's why we clearly highlighted.
Operator: The next question is from Sylvain Brunet, Exane BNP Paribas. Your line is now open. Please go ahead, sir.
Sylvain Brunet: My first question is on the medium-term financial targets that you referred to. The previous plan was to reach at least €1 billion of free cash flow by 2021. Curious to see how you would articulate those targets because those targets were excluding steel previously. So if you can give us some sense of where you best estimates are for next year and year after. My second question is on Industrial Solutions. Again, another one which is difficult to forecast going into next year, what is your best guess on the earnings sequence? Should we offer at least a cash breakeven situation there? My third question, after the oil industry got surprised in the later part of last year by low water levels on the Rhine, what are the contingency plans that you think you - the division can work out on the steel side, in particular, if the situation were to repeat? And lastly, just on steel margins, do you have any hope after contract negotiations? And as we're seeing the iron ore cost leveling off, even if there are legacies there, that you could recoup some of the margin squeeze that we've seen so far this year in the coming quarters.
Guido Kerkhoff: So let me start on the medium-term target. For us, it was very important that they stay valid for all the businesses. What they clearly assume that we are in somewhat sort of mid of the cycle, with a normal economic development. So therefore, be in the €1 billion, be at the margin targets, that is definitely required that we are in underlying economic circumstances. Now to have a look on what's the case in two years down the road is very difficult. But to clearly say within the €1 billion, still would not be excluded. It was including the dividends from the joint venture and the significant synergies we realized, and we had a 50% share in it. So therefore, you need to see the synergies will now - not be there, but steel, 100% included, 50% of the JV with a 50-50 JV. So you have to see. I don't think that this is going to lead to any kind of change there because the steel was included, but in a different setup. Now to come up with predictions for Industrial Solutions next year, I mean let's first finish this year. I think what we currently do see indeed is at the current team, with Marcel Fasswald running it, is taking the right steps. What we do see currently is that at our chemical plants business, we've seen a good and strong order intake and the lessons we have to learn from the contracts from the past were indeed taken. The strong order intake comes in at good levels, supporting our margin targets going forward. So here, they have learned and clearly taken those steps. Now in the cement and in the mining market, we're not in an easy situation. Nevertheless, order intake has improved. What we're doing in improving our service organization, the CapEx we've spent that we can really increase it, and we see already order intake, that we're doing there that it's picking up. And the preparatory work is on the right direction. So what I see behind the numbers is clearly indicating in the right direction. But I have the impression the decisions we've taken with the new teams and with the new direction are leading us in the right way. Is it overweighing the effect that we've seen so far? No, not yet. But we already have clear proof points of moving in the right direction, in our position in this market. Coming to the steel point with the low water levels, we don't think that it's currently something we see coming back again. Clearly, what can we do to do it, we have an early warning system, we can improve our capacities here in Duisburg. You can ramp up, for example, working capital, if you want to have more certainty or see that you increase, if you see that a drought might be coming again. This is what we have improved, that we can faster and better react and have better ships and ship types in the future that can cope with lower Rhine levels overall. So I think we've learned our lesson. But it was once upon a lifetime, the last time we were close to that was 2003. So let's wait and see what's going to come up there. And I think we're well prepared, and we shouldn't overdo with having too much working capital instead of being protective forever. So I think early indication measures is the ones that should help us. And I think we're well set up. Steel margins, overall, yes, I - currently, there's some indication that it comes down. I mean it's irrationally high. Lower demand prices of above €100 seem strange. That can help definitely, and let's wait and see how that levels out and how the demand is going to continue. I think it's a bit too early to give a clear picture, but there are some positive signals that it might turn.
Operator: The next question is from Alain Gabriel, Morgan Stanley. Your line is now open.
Alain Gabriel: Two questions from my side. Firstly, on the gearing level, your revised free cash flow guidance implies a net debt-to-equity that is very close to your covenants by year-end. What gives you comfort of your ability to avoid a potential breach? That's one. And the second question is on the main moving parts on free cash flow going into fiscal 2020. What do you anticipate in terms of the two main buckets of cash taxes in relation to the IPO? And two, the restructuring charges in relation to the layoffs that you are planning to undertake.
Guido Kerkhoff: Yes. On the covenant, maybe Johannes can give you some updates.
Johannes Dietsch: Yes, very good summary. Yes, Alain, you're right, at the end of June, we were at 205%, which is above our maximum level of 200%. This financial governance is only in our credit line, which is undrawn. And as you know, we have very strong first quarter with regard to cash flow. Therefore, I expect that the gearing level will be substantially below 200% by the end of this year. And therefore, we do not see any necessity now to renegotiate the credit line.
Guido Kerkhoff: Going forward on the free cash 2020, there will be some IPO-related charges, but the pain we will have and the carve-out comes in much lower than the split of the company would have been. So I think that's bearable. There will be restructuring charges, that's clear. And you see in our P&L and our cash statements from the past that some restructuring charges have always been there. We now first need till end of the year find out what restructuring and how do the 6,000 looks like and when will the cash payouts be there. The current economic situation is helping that we can find solutions that are not that costly than maybe in the past. So we hope we can find better measures instead of worst ones, given our economic environment. We're in good shape there, but we can update year-end. So to give a clear cash guidance for next year now is a bit too early. We're working on our restructuring charges. We're working on improving our business situation. And if you take a look at - for example, our capital goods businesses, only Industrial business improved in the 9 months, their business cash flow compared to previous years. Although there was overall rather economic downturn and the difficult development, they improved by more than €500 million. The whole change in the performance and the worsening of the business, cash flow and the overall cash flow of the group compared to the 9 months from last year was indeed overshadowed by Steel and Materials Services. They were negative by minus 1.6 and there was an offset of €500 million from the other businesses to get us to the minus 1.1. So one has to look a bit behind the figures. And I think we clearly see that the positive measures we've taken in the other businesses are showing to pay off and give positive impact. Is that already enough? Clearly not. But we see first effects coming out of the changes, and we want to continue for the next year. The pressure is big enough here.
Operator: The next question is from Luke Nelson, JPMorgan. Please go ahead.
Luke Nelson: Two questions from me. Firstly, can you give an indication on where your new build versus maintenance split currently stands in Elevator, just following the recent acquisitions? I think previously, it was roughly 50-50. And also, if you can give a sense for the margins of new build and maintenance in the North American market. And then second question, again, on Elevators, you previously guided to €100 million reduction in administration costs. Just in the context of head count, which looks largely unchanged at the moment, can you give us a sense of how far you are into that reduction target and if indeed it is still realistic and over what time frame?
Guido Kerkhoff: Well, the 50-50 was slightly - service is currently slightly above 50% and with the two acquisitions, it will further improve. And as you roughly assume, it's in the U.S. market, its distributor businesses with a strong service part. So that will further improve, and the margin in the U.S. is above average. So that's going to be helpful. On the €100 million that we have on the G&A cost for Elevator, this is definitely the minimum we want to achieve. We are well on track, but I'd like to see bigger numbers, and I'm not so negative.
Operator: The next question is from Ioannis Masvoulas, Macquarie. Your line is open.
Ioannis Masvoulas: Two questions from me. The first one, the - on Slide 6, again, on the three segments that you have under review, could you explain why we've seen a much bigger negative delta on business cash flow relative to the EBIT development year-over-year? Is it due to more growth CapEx, which is something I wouldn't expect, for example, in Heavy Plate? Or is it working capital? And then the second question, in terms of the options, would it make sense to consider divesting any of those segments now, given the weak profitability and free cash flow track record? Or would it make more sense to look at potential restructuring and an eventual sale later, maybe next year or the year after?
Guido Kerkhoff: It was, in some cases, a bit more CapEx on maintenance, but it's largely working capital, especially at Heavy Plate. As you rightly assume, that was the effect there. And as I've clearly said, for these three entities, all options are open. It's restructuring in - might be partnerships. It doesn't have to be always a straight sale. Many people think we were just going for straight sale, there might be partnership. Then you strengthen with others and still have an ownership in it. It can be the case as well. Or in some cases, you might shut down some of these activities where you don't see that this is a basis that you can continue. So I think it's the three of that. It's a classical fixed selling close approach that we do have here. But as you rightly said, it's not just throwing away and taking the weakest, a point of time of doing it. But all options are open, and it helps us to have them clear and transparent there to increase internal pressure that we get it done.
Ioannis Masvoulas: Sure. And just a quick follow-up in - on Heavy Plate. Is there any competitive advantage that your segment enjoys? Because overall, Heavy Plate seems to be an oversupply than a commoditized market. Is there any strategic advantage to keep that site open? Or is it a potential shutdown on the most likely outcome?
Guido Kerkhoff: I don't exclude anything, it's a commoditized market.
Operator: The next question is from Rochus Brauneiser, Kepler Cheuvreux. Your line is now open.
Rochus Brauneiser: One is a follow-up on these three businesses. Can you give us a time frame how - by when you want to take a decision on these three options and by when you want to have fixed the issue, means you have gotten away with the negative EBIT and the negative free cash flow? The second question is on the reorganization. You were mentioning the too many organizational layers. What kind of cost potential do you see from here in these overhead costs? And what kind of cost potential in the next two years from this? And can you - so how you want to achieve it without any incremental FTE cuts in these organizational structures? The third question is on the outlook for the auto part of CT. What kind of top line expectation you have for next year under the current weak global auto market? Can you remind us how your business fit in China is between Germany OEMs and local OEMs?
Guido Kerkhoff: Yes. Look, on time frame, what is important for us for the three entities to do the right steps, I'd like to get it fixed the sooner the better, but we need to take the right decisions, and we need to take the time that is needed for the right decision. The sooner is better. We have to stop the bleeding and we have to act fast, given the financial situation. That's what we want to make clear with that. We want to act fast. But we have to do the right thing. Therefore, I can - I have my own intentions, the sooner the better, but we might not only be depending on ourselves in executing this and evaluate other options, external ones as well. So therefore, please be with me, but I can't give you a clear time frame. We're working heavily on it to get it done, and I'd like to solve it sooner than later. The reorganization and the cost potential of it, I mean we've clearly said that 6,000 FTEs. We detail by the end of this year to clearly say where are they and how do we reduce them and how to get it done. And this is, to some degree, G&A is included in there. And we do see with the delayering quite a lot of potential, and we've taken already steps to get it done. For example, as I mentioned, the Elevator organization is planted in the U.S. They have split, Latin America, North America, and North America, they have taken out layers. Materials Services, a new organization in place on lower levels, that reduces, again, the complexity and takes out people. So we are already taking steps, and we will further elaborate. And once we have the overall model, BA by BA and for the group overall, you will see what potential is in there. I can't provide you now with the exact numbers, but it's clearly going to exceed what we wanted to achieve in our benchmarking of functions. The way we're doing it is that we're clearly benchmarking our companies against external. And there, we have at Industrial Solutions and Elevator and others really big potential that we have to address, and all management teams are really focusing on that. It's not that we have to push them. They clearly set themselves the target and measure them against the outside world. So I'm rather optimistic that we will see the respective restructuring measures and the levels that we want to take out. Although we've seen now throughout the year that the demand is going down, for the next year, so far, it seems stable on this low level. So we don't see any positive signals there, but nothing else. So it's a bit too early to say what's going to happen. But for this year, the projections have come down over time and I think are now realistic to see what we're currently facing. So on this level, I think that's the current level we have to work against. That's the current level and then see when we have more clarity how next year will look like. In China, we are supplying each and every one. It's still largely with the Germans. It's rather depending on the models here, and we have even some models where we see a strong increase in demand. So it's indeed, you can't say it's just the Germans or the locals or the effect, you have to go model by model and see what you're in. We even have, at certain cases, especially with the Germans, to some models where we sell more than our internal projections gave us for this year.
Rochus Brauneiser: Maybe one follow-up on Industrial Solutions. Can you - I think that there was a similar question before on the timing of the breakeven. I guess you have been pushing out in terms of turning around with your restructuring plan. I think, obviously, this has not fully become visible. When shall we expect the staff cuts to come through? Because when I look at your employees, then obviously, the number of those has even increased at plant in the last I think - yes, in the last three quarters.
Guido Kerkhoff: Yes. Thanks for that question. Because in FTE, you see two effects. As I explained, we've invested in service quite a lot and have built new workshops, and our service revenue is increasing because now we can offer services closer to our customers. And we've built up more than 600 people in the service business line. And that's why this is overshadowing the underlying cut in G&A and especially in the German workforce, which you don't see if you just take a look at the overall numbers. There's a significant reduction, and they are on plan, on target in delivering that. And again, if you take a look at the free cash, look, for the 9 months, it's still a negative number, but they have improved substantially. They have more order intake, that's one thing. They have reduced the cost base. They're working down, still some of the contracts, the downdraft of that high margin. But I think you can already see that the efforts they're undertaking are delivering some improvements. Now clearly, the breakeven, we want to see it rather sooner than later, depending on order intake, depending on down payment. That's why I don't want to give you a clear guidance but I'm rather confident the team seems to be addressing the right issues, and we see in the numbers that it's improving.
Operator: The next question is from Marc Gabriel, Bankhaus Lampe. Your line is now open.
Marc Gabriel: I have two questions, if I may. First of all, the restructuring costs, will you account all these for the 6,000 FTEs already in the current fiscal year? That's the first question. The second comes later.
Guido Kerkhoff: No, and some of them might come this year, but largely, it's not. And we have to see what restructuring efforts in this and what measures we can find to avoid cost for that. So let's wait and see. Let's first detail it and then see when it will come.
Marc Gabriel: And still a little bit more on the clarification on how you want to improve the EBITDA per ton in Steel Europe. I mean the raw material cost that is the one side, the volumes are down, seems to be unlikely that they pick up in the second half of the calendar year. What's with pricing? We saw already that some of your competitors announced price increases for the time after September. And what's your policy to get back to at least, I would say, €75 per ton EBITDA?
Guido Kerkhoff: Well, clearly, what we need to see is where raw material price is going, where volume is going, what customers we can address, how is it in the order sector, how is it in the mix. And price is an important thing if iron ore goes up. Surely prices should, in the long run, reflect what happens on the raw material side. So definitely, we - as we are rather high-quality player and have proven in the past that we are rather at the top end of the pricing, we haven't changed our strategy in that respect.
Operator: The next question is from Jason Fairclough, Bank of America. Your line is now open.
Jason Fairclough: Guido, you had some quite strong words there about not carrying businesses that burn cash. I'm just wondering if you could help us out, how many people work in these three focused businesses? And do you have the support of the Management Board and the large shareholders to take the difficult decisions, if you decide to go down that route? And I guess once we take a decision like that, how long does it take to implement? Is this a 3-month process or is this a 3-year process?
Guido Kerkhoff: Somewhere in the middle, it's not three months. It would take a bit longer than - I mean Heavy Plate has 800 people; System Engineering, 4,900; and Springs & Stabilizers, 3,600 people that work in these divisions. And yes, we have presented everything. We published here, and we clearly - with our Supervisory Board. So we have the support of the shareholders. And I mean take a look at the current situation, the company is heavily cash negative. We have to address these issues, and we have to do and take the tough calls and make the decisions going forward to stabilize the business and have a sustainable business in that. I mean Industrial Solutions and Marine Systems, the other two where we already started last year, so that's why there's nothing else to mention about them. We see that there is progress in these 3, now that the split doesn't work and the JV doesn't work, are the ones we have to address. And clearly state, we can't continue that way.
Jason Fairclough: And just a follow-up, if I could. And I think you - I know the answer, but can you provide any color about how we should think about closure and restructuring costs with those three businesses?
Guido Kerkhoff: I think it's a bit too early. Let's see what we can find out. And within that process, we would see what pain we will have to take. All the three options, fix, sell or close, always affect each other.
Operator: The next question is from Christian Obst, Baader Bank. Your line is now open.
Christian Obst: Three more or less housekeeping questions. First, cash flow requirements, what are the current requirements for the company? Is it still the €1.5 billion CapEx, approximately €800 million to €1 billion payments for pensions and net interest and then comes a tax on top of that? So we are end up with €2.5 billion to €3 billion, is that right? Then on IFRS 16, we have seen not a debt included in the balance sheet. So far, what will be the debt impact until the end of the year, additional to the current debt? And concerning intangibles, intangibles amounting now with the reintegration of Steel to approximately €5 billion, which is approximately 2x equity. How do you see the risk? How would you describe the risk within these intangibles that you might face as further impairments going forward, especially under the ongoing restructuring you mentioned?
Johannes Dietsch: Yes. Let me try to answer the question regarding cash requirements. Looking at our cash payments, we have €500 million in pension-related cash outs, all of which, roughly half of it are already recognized as service costs in the EBITDA. Then we have roughly €200 million in interest costs to be covered. We have another much of it, tax, roughly €400 million last year. And that is requiring the need in order to write - clear write of our €1.5 billion we need in order to be 0 in free cash flow for the group overall. On IFRS 16, we will not record additional debt within this fiscal - this business year. It will come in the next business year and the multiple would be around €800 million to get towards the financial debt. And with intangibles, yes, for the amount that is yearly tested per se in parent testing, that's currently going on in August, September. And we have nothing to report on it at this point in time.
Christian Obst: Then I have one additional question. Is any of that €5 billion intangibles and the goodwill included related to the history of companies or a part of company?
Johannes Dietsch: No.
Operator: The next question is from Christian from SocGen. Please go ahead, sir.
Christian Georges: It's Christian Georges. Just two questions. On the decision to go ahead with the IPO evaluators or to consider some of the alternative offers you currently are looking at; do you have a different timing on this? I mean are you setting a decision based on this fiscal year or this calendar year to tell us the different types of solution can be found or if you're going definitely for the IPO?
Guido Kerkhoff: The IPO is determining the time line. So that's clear.
Christian Georges: So you may decide to go for an entirety of - at an even time between now and when the IPO is ready to go?
Guido Kerkhoff: I don't think it's really contradictory. I think the IPO is just giving us some time frame to decide, and all the alternatives can be evaluated until then. So it's a kind of entering point. That's enough time to get it done.
Christian Georges: And on a different ballpark, you're mentioning the - there were cost increase from raw material. We see the impact of lower volume on your Steel operations. Has CO2 rights increase also impacted you significantly? Or is that more of a marginal impact?
Guido Kerkhoff: More marginal impact.
Christian Georges: And you are not believing it will be an impact which should be more material next year either?
Guido Kerkhoff: No.
Christian Georges: And with regards to the European decision on the competition, is that something where you're hopeful that something will be done with regard to the 5% increase in allowed imports? Or nothing new there?
Guido Kerkhoff: It will be needed. That's all I can state.
Christian Georges: And the final thing is the - on the special items, I'm not sure if I understood during your earlier comments, is the €286 million of policy over three quarters, did you guide for the full year, what the special items would be for the fourth quarter?
Johannes Dietsch: I think for this fiscal year, we have an estimation of up to €500 million.
Christian Georges: Up to €500 million.
Guido Kerkhoff: To make it clear, what is our priority there is very clear to allow all the restructurings that are needed and not to hinder them and then see what is the appropriate timing. And then we will see - you see there's still in - a lot room until the €500 million level, what we have achieved so far. Therefore, it's up too and it's clearly up too and the decision-making is we don't want to hinder the businesses and allow them to do so. And we will see and evaluate what will be done by the end of the year.
Christian Georges: So this potential, it's roughly €200 million in the last quarter. Roughly.
Guido Kerkhoff: Yes. That's why it would be up, too.
Operator: We have currently no further questions. [Operator Instructions]
Claus Ehrenbeck: Well, operator, and you all out there, if there are no other questions, then we would like to thank you for participating in today's conference call. And the next time you will hear from us will be next week, next week, on Monday, and Guido will be traveling in London, see investors there. If some of you might be interested to participate, please let us know, and we will take care of that. If you have more question, here are our numbers under Further Strategic Development. Please contact the Investor Relations department, and we are very happy to receive your questions and come back to you and stay in contact. Thank you very much, and have a nice afternoon and evening. Bye-bye.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.